Operator: Good morning, ladies and gentlemen, and welcome to the Enbridge, Inc. 2015 Third Quarter Financial Results Conference Call. I'll now turn the meeting over to Adam McKnight, Director of Investor Relations.
Adam McKnight - Director-Investor Relations: Thank you, Christine. Good morning and welcome to Enbridge, Inc.'s 2015 third quarter earnings call. With me this morning are Al Monaco, President and CEO; John Whelen, Executive Vice President and Chief Financial Officer; Guy Jarvis, President, Liquids Pipelines; Vern Yu, Senior Vice President, Corporate Planning and Chief Development Officer; Leigh Kelln, Vice President, Investor Relations and Enterprise Risk; and Chris Johnston, Vice President and Controller. This call is webcast and I encourage those listening on the phone lines to view the supporting slides, which are available on our website. A replay and podcast of the call will be available later today, and a transcript will be posted to the website shortly thereafter. The Q&A format will be the same as prior calls. We'll take questions from the analyst community first then invite questions from the media. I would ask that you wait until the end of the call to queue up for questions and please limit questions to two per person, then re-enter the queue if you have additional queries. The Investor Relations team will be available after the call for any follow-up questions that you might have. Before we begin, I'd like to point out that we will refer to forward-looking information in connection with Enbridge and the subject matter of today's call. By its nature, this information contains forecasts, assumptions and expectations about future outcomes, so we remind you it is subject to the risks and uncertainties affecting every business, including ours. This slide includes a summary of the significant factors and risks that could affect future outcomes for Enbridge, which are discussed more fully in our public disclosure filings available on both the SEDAR and EDGAR systems. I'll now turn the call over to Al Monaco.
Albert Monaco - President, Chief Executive Officer & Director: Okay. Thanks, Adam. I'm going to start off this morning by highlighting our results and providing a business update for the quarter. Just coming off of Enbridge Days, where we took investors through the bigger picture strategies, we'll keep this to more recent execution milestones. That will include our continuing focus to enhance netbacks for producers in what is obviously a difficult commodity environment and I'll talk about our newest investment in renewable energy, which we now announced this morning. That's the Offshore Wind Project in the UK, which is currently under construction. John will then take you through the quarterly results in more detail and where we expect the year to end up. And I'll wrap up with an outlook. So turning to slide four, as you can see from the bars here on the right-hand side of each section there, we had strong quarter-over-quarter and nine-month earnings and cash flow growth. Q3 earnings came in at just under $400 million or $0.47 per share, while ACFFO, our new metric, was $668 million, or $0.79 per share; year-to-date, very solid at $1.4 billion in earnings and $2.3 billion in ACFFO. Just a couple of observations about the results at the high level. First, the growth you see here is driven by strong performance across most of our businesses and recently completed capital projects. So far this year, we put about $5 billion of capital into the ground and that's on top of $9 billion last year. Second, our nine-month results gives us confidence we'll come in within our full-year guidance, but it looks like we'll end up in the lower half of the guidance range, at least on EPS. Now that may not be intuitive given results to-date that you see here, but, as you know, we've experienced almost a full year's delay in receiving regulatory approval for Line 9. We're expecting the Line to be in full service in December, so that's a good thing, but the delay has obviously had a significant drag on earnings this year. This will end up being in the range of about $90 million all in, just for Line 9 or roughly $0.10 a share. We also saw some upstream and downstream disruptions in liquids in October, which now we understand are sorted out and continued pressure on Aux Sable frac margins. So John will take you through those a little bit more detail. That said, on EPS, we're still tracking to come in within the guidance range, which we believe would be a good result in the face of the Line 9 delay. Now, on ACFFO our outlook is strong and remains unchanged from where we were last quarter. At this point, we're looking like we'll come in around the midpoint of the guidance range of about $3.30 to $4 per share as we're seeing lower maintenance CapEx in Q4 that will offset the issues that are likely to affect the fourth quarter that we just referred to. Now let me turn to the business updates. We're now on slide five; starting with our focus on customers in the current commodity price environment. We're hearing a lot about cost reductions in our industry, but, frankly, the biggest impact that we can have is to open up access to the best markets for producers. The map here, you've seen before, highlights various projects, totaling some 1.7 million barrels per day of new market access. The goal here is to connect producers to regions that attract global pricing, like the U.S. Gulf Coast and Eastern Canada. Those are two. And we've seen the benefits of that for both heavy and light differentials over the past while. Combined with stable, low-cost tolls to these markets – that's the other chart that you see here – producers can maximize netbacks, and refiners can gain access to reliable Canadian and Bakken sources of crude. Part of that is also to ensure we're efficient with our capital. Given market conditions, we've been working the supply chain very aggressively to drive savings and productivity gains. So far, that's resulted in about $400 million of savings on the capital side. We're hoping to eke out a little bit more by year-end in the order of $100 million. Another element of efficiency is how we optimize capacity. A good example of that is the Regional Oil Sands Optimization Project, which we've covered before, and that resulted in a capital savings of about $400 million as well. Turning now to slide six; another element of customer focus is good execution. And the slide here illustrates the projects that we expect to bring in service this year. It's about $8 billion worth in total. You're familiar with all of these. So I'm not going to go through them all, but highlight a couple of these completed in the quarter. Those are the green checkmarks that you see. In July, we brought on 230,000 barrels per day of capacity through Mainline Expansion. That was actually a little bit earlier than we targeted. It's a good thing, because it was much needed capacity for our customers. In fact, it actually eased apportionment on our heavy lines and allowed us to move a record 2.3 million barrels per day on the mainline in August. The Woodland Extension went into service in July. That brings Imperial's Kearl volumes to the Edmonton hub. And Sunday Creek Expansion project for Cenovus Christina Lake went into service in August. In offshore, the Big Foot Oil Pipeline was completed on schedule and under budget. And then, lastly, on Line 9, we were very pleased, the NEB approval came through after the results of our hydrostatic tests that were completed during the quarter. We now have everything in place to get the Line into service, and our customers have begun line-fill. This has obviously been a long process, but it's important that we've got the Line running now. Quebec refiners will have access to secure, reliable Canadian crude; and that's going to enhance their competitiveness and support many jobs within the Quebec refining communities. So overall, on this slide, good execution by our major projects group this year. Now let's talk about that new offshore project we announced earlier this morning, turning now to slide seven. So I think maybe, just to begin, it's important to cover some context here. If you think back over the last couple of years, and most recently at Enbridge Day in October, we've emphasized a couple of broad themes. First of all, we have a highly transparent capital program with $38 billion through 2019. And with this project, $25 billion of that is commercially secured and underway. And we've got, of course, another $13 billion in development. If we execute well, the secured capital loan should drive a very strong and transparent growth. While our five-year outlook is intact, we've also focused on what's next in positioning Enbridge for the future with new growth platforms. And that's why, a key strategic priority of ours that you've been hearing from us is to extend and diversify growth beyond 2019. That doesn't mean we don't have a long runway on Liquids Pipelines growth going forward. But we think it makes sense to put more emphasis on expanding our natural gas and power generation businesses. We're making some early headway on building out our inventory of gas opportunities. We covered that in Enbridge Day. And, of course, over the last five years, we've invested about $4 billion in renewables generation and transmission. We now have about 1,800 megawatts of net generating capacity in North America from 18 renewables projects. That makes us one of the largest renewable power generators in Canada. We see European offshore wind as a natural and a very timely extension of our existing wind business. Now, any new investment needs to fit the value proposition that you come to know us for. So let me focus on that. First, with the fundamentals on slide eight. Two things are very clear, we think, going forward. First, there's general agreement that global electricity demand is going to continue to grow. We also know that there will be a global focus on reducing emissions. Many jurisdictions in North America and Europe have accelerated retirement of coal, and in some cases nuclear, and adopted some type of renewable targets. So if you look at the future sources of electricity generation that you see here on the slide, it's clear that we're seeing significant growth in both natural gas and renewable supply. The top chart shows that half of Europe's generating capacity is going to come from renewables by 2025. And by the way, the levelized cost of renewables has come down and increasingly competitive with traditional sources of supply. And some of that is due to the move to, what we like to refer to, as mega-scale facilities, in the case of offshore turbines up to 6 megawatts in play right now and growing from there. And as well, over 20 gigawatts of offshore capacity is expected to be developed in Europe over the next five years. That's the other chart on the slide. Now, I guess, maybe just overall, to be clear, this is not a new business. There's currently 88 completed offshore wind projects in Europe. The UK, in fact, leads all countries with 32 operating and another 32 under construction. And for the future, over €100 billion of investment is expected in offshore wind in Europe over the next decade. Moving on now to how offshore fits with the value proposition on slide nine. Now, at Enbridge Day, Vern Yu took you through our investment criteria for offshore wind projects, but, maybe, let me just recap a couple of the key ones. First, obviously, offshore wind development has differences, but it's really not that dissimilar to what we see onshore. The technology is proven and has been adapted to offshore applications. It's really, as I said, not that new other than the size of the turbines, and some of the infrastructure and logistics that go with it. We also see strong commercial underpinnings offshore, namely, long-term PPAs. We've got established power markets and good transmission in this part of the world and a stable political environment where we can hedge currencies as well. Construction risk can also be well-managed. We're at that point where, in this business, the supply chain has been sufficiently developed where you can get fixed pricing for many of the project elements. Most important is proven execution capability and track record, of course. In this case, we're partnered with E.ON, a leading offshore wind developer, and this is their 10th offshore project. By the way, we're also partnered with E.ON on a couple of onshore projects in North America. Finally, given the other opportunities we have to invest capital, we're focused on expected returns that generate a premium over our project cost of capital. So with that, let me just briefly cover the project itself on slide 10. The Rampion site that you can see here on the map is located off the Southern Coast of Britain here. Equipment-wise, there will be 116, about 3.5 megawatt turbines for a total capacity of 400 megawatts. So this is large-scale utility-size generation. And given its location, there is well-developed transmission infrastructure. We'll have roughly 25% for a total investment of about $750 million. E.ON will manage construction and provide operation services under a 25-year operating contract. 100% of the power generated by the project will be acquired by E.ON under a 15-year PPA. But, importantly, the majority of revenues here are comprised of UK renewable obligation certificates. Those are often referred to as ROCs. Essentially, these are fixed-price payments that escalate with inflation for each megawatt generated and these ROCs go for 20 years. Power sold into the grid will also attract market prices for electricity that's generated here, which is based on a dispatch order system, where you have marginal pricing setting the price that you're seeing on that part of the revenue. The project has obviously received all the permits and construction began just in September. And it's scheduled to go in service in 2018 and we'd expected it to be immediately accretive to both ACFFO and earnings per share. So with that, let me just conclude my section here by moving to slide 11 and a quick update on the Sponsored Vehicles strategy. So a good progress on that this quarter. As most of you know, we completed the dropdown of our Liquids Pipelines business to the Income Fund. This was obviously a key milestone for us, because the structure can provide a large and diversified source of capital for many years to come. With the drop, the Fund itself has been transformed into a premier Canadian infrastructure vehicle. And the priority now is to effectively prove out the model by initiating the equity funding capability through ENF. That's the public vehicle here. We have now done that as well through ENF's $700 million offering last month. This is a record size deal, which gives ENF a meaningful boost to its market cap, resulting in better liquidity and it should allow it to attract a strong and wider following. Moreover, we think it demonstrates ENF's ability to meaningfully contribute to Enbridge's funding plans going forward. And I think it illustrates how the structure can be effective in redeploying capital to new opportunities we have in our backlog, like the Rampion project that we just talked about. And, of course, as well, to support future dividend growth at Enbridge. On the right hand of the slide, EEP has also undertaken a US$1.6 billion offering on the debt side just a while ago. And last month, we outlined as well our plan for systematic dropdowns of Enbridge's U.S. assets to EEP and we indicated about $500 million annually. So together with EEP's embedded growth of about $5 billion in execution, some $750 million in book value call options and now this incremental $2 billion of drops, the combination of all of this should generate solid annual distribution growth of about 5% or better over the five-year profile in our plan. So with that, let me turn it over to John Whelen to review the financial results for the quarter.
John K. Whelen - Chief Financial Officer & Executive Vice President: Okay. Well, thanks, Al. I'm picking up on slide 12, with results for the quarter and I'm going to focus first on adjusted earnings. Now if you read through our news release and MD&A this morning, you'll see that the presentation of our segmented results for this quarter are affected by a number of moving pieces that arise from the dropdowns that we've undertaken over the last year from Enbridge, Inc. to Enbridge Income Fund. As Al noted, we completed the big dropdown of our Canadian Liquids business and additional renewable power assets to the Fund on September 1. This quarter's results captured the performance of these businesses within the Liquids Pipelines segment for July and August, but in the Sponsored Vehicles segment for the month of September; and further complicating the picture is the fact that back in the fourth quarter of 2014, we also dropped our interest in the U.S. portion of Alliance Pipeline and the Southern Lights Pipeline to the Fund. The financial performance of these assets are now reported in the Sponsored Vehicles segment, whereas back in the third quarter of 2014, they would have been picked up within Gas Pipelines, Processing and Energy Services. All of this makes quarter-over-quarter comparisons of business performance on a segmented basis a little challenging. To make the comparison a little easier, this slide compares quarter-over-quarter adjusted earnings performance by segment as if these dropdowns had not taken place. That's the left-hand column on this chart and it provides an apples-to-apples comparison of business performance versus the third quarter of last year shown in the middle column. For reference, the column on the right shows the quarterly segmented results as we reported them in our MD&A. Now, I'm not going to spend time here reconciling these two perspectives, but we have provided some supplementary slides to help you navigate between them. So with that orientation in mind, I'm going to focus on the before dropdown picture, comparing the left-hand column with the middle column to give you a better feel for how each business performed during the quarter. And as you can see, it was another strong quarter relative to Q3 of last year. Starting with Liquids Pipeline whose contribution to adjusted earnings increased by $71 million quarter-over-quarter. This was mostly driven by the performance of the Canadian Mainline where earnings were just over $50 million higher than Q3 of last year. The increase was driven primarily by higher volume throughput on the system that resulted from a combination of increased oil sands production, higher Midwest refinery demand, as well as ongoing system throughput optimization initiatives, including the addition of 230,000 barrels per day of incremental capacity that came online in July with the completion of Mainline Expansion. Total deliveries, ex-Gretna, averaged 2.2 million barrels per day over the quarter compared to 2 million barrels per day last year. Higher tolls also boosted the quarter over picture as surcharges for the Edmonton to Hardisty expansion project kicked in earlier this year. And Liquids Pipelines also got a little help from foreign exchange rates. While the bulk of the U.S. dollar revenue generated by our mainline system is hedged, the average hedge rate has been higher this year and the small percentage of revenue that's not hedged is benefiting from strong spot rates. Moving down to gas distribution, the small third quarter contribution is pretty typical of the seasonal pattern of earnings and cash flow that we see generated by our utility businesses. Adjusted earnings from this segment were up about $10 million over the third quarter of last year on the strength of strong customer growth and higher rates. And we continue to see and expect to see very solid performance from Enbridge Gas Distribution under its incentive rate making model. Adjusted earnings from Gas Pipelines, Processing and Energy Services decreased by $26 million, due to a couple of factors: first, after a very strong first half of 2015, earnings from our Energy Services businesses were weaker in the third quarter as margins from tank management services declined and location differentials narrowed on certain pipelines where the company retains committed transportation capacity. Second, Aux Sable's performance continued to be affected by the impact of weak commodity prices on fractionation margins, which has limited the opportunity to share in margin upside over and above base processing fees. While there were a few other smaller puts and takes from other assets, those really were the big drivers of quarter-over-quarter performance. Moving along, as you can see that the Sponsored Investments segment on an adjusted basis was a little lower than last year due to a few offsetting factors. The legacy assets within Enbridge Income Fund, taken together, actually performed a little better than Q3 of last year. EEP's contribution quarter-over-quarter was up slightly on the strength of stronger earnings from its Liquids business and a slight improvement in its Gas business on a quarter-over-quarter basis, and higher incentive distributions. However, these positive contributions were slightly offset by a lower contribution from our jointly funded assets. Moving to Corporate, and ignoring, again, the impact of dropdowns, the Corporate segment loss was about $7 million lower than the third quarter of last year as net interest income was only partially offset by higher operating and administrative expenses and higher dividends on preferred shares issued over the last year to fund the company's growth capital program. Very last line in the table, labeled Incremental NCI, reconciles the as-reported perspective with our pre-dropdown look for this quarter. It reflects the incremental amounts paid to the public investors in the Income Fund as a result of these dropdowns. So after eliminating all of that inter-segment noise, you can see it was a pretty solid quarter with adjusted earnings up 50% over the prior period. So turning now to slide 13, it shows the performance of our business through the new cash flow lens, the available cash flow from operations, or ACCFO (sic) [ACFFO]. The strong quarter-over-quarter uptick in cash flow was largely driven by the strong operating performance I just walked through. The other significant factors impacting the change in ACFFO quarter-over-quarter, again, are broken out on this slide. You can see that maintenance capital expenditures were lower than Q3 of last year, largely due to some specific program spending undertaken in 2014 that has now been completed. The lower maintenance capital during the quarter was offset by higher preferred share dividends and by higher distributions to the public shareholders of Enbridge Energy Partners and Enbridge Income Fund Holdings, Inc. We do adjust for non-operational, non-recurring impacts to the extent they impact cash flow. That is what we're picking up in the other line on this schedule. And you can find further details in the MD&A that we filed this morning. So again, solid operating performance and timely project execution has driven very solid cash flow relative to the prior period. So now turning to slide 14 and our guidance outlook, nine months along, how is the outlook looking or the full-year trending. Al has already let the cat out of the bag on this one. As he noted, we expect that adjusted earnings will likely end up in the lower half of our guidance range of $2.05 to $2.35 per share for the full-year. The long delay in receiving a leave to open for Line 9 has been an obvious drag on earnings and cash flow relative to expectations. And while it will come into service this quarter, its earnings contributions will be modest in the first month or so of operations. Aux Sable has been another drag on financial performance throughout the year and we expect that weak fractionation margins will continue to prevail over the balance of the year, limiting any opportunities from margin sharing. It's fair to say that for the first three quarters of the year, these headwinds were largely offset by strong performance from the liquids mainline, cost management activities, and the very strong first half performance of our Energy Services business. The impact of the small amount of unhedged U.S. dollar revenue also has been providing a bit of a tailwind. However, as we enter into the fourth quarter, we see a couple of these tailwinds fading. Energy Services had a weak third quarter and we aren't projecting a return to first half performance, given where differentials have moved of late. As Al also mentioned, we have seen volumes in the liquids mainline drop off in October due to longer-than-anticipated refinery turnarounds and disruptions at facilities both upstream and downstream of our system. However, we do expect volumes to rebound strongly over the remainder of the year, but average volumes for the quarter will be a little lower than we'd originally expected. So the help that we were getting from Energy Services and the mainline earlier in the year to offset the Line 9 delay and the weak performance of Aux Sable won't be quite as strong, which is pushing our earnings outlook into the lower half of our guidance range. ACFFO was still pretty much on track, as Al said. Not all of the factors affecting earnings affected cash directly and we do expect maintenance capital to be lower for the full-year. So our ACFFO outlook remains roughly balanced. So turning now to slide 15, as Al also mentioned earlier, we've made some very good progress on the funding side of things and we're pretty much right on track with our plan. On a year-to-date basis, we've raised close to $4.8 billion across the Enbridge Group, despite some choppy markets. You can see from this slide that we've been able to raise both debt and equity capital through several different entities, accessing both the U.S. and Canadian public markets. And our DRIP and PIK programs continued to bring in not only steady, but very significant amounts of new equity to strengthen our balance sheet as we execute on our growth program. With the benefit of the inflow of additional long-term capital, consolidated liquidity continues to be very strong. Unutilized bank lines, together with available cash, total close to $9 billion, providing more than ample flexibility to manage through market disruptions and raise capital when market conditions are attractive. A particular note is the $700 million of common equity offering by Enbridge Income Fund Holdings, Inc., which Al already mentioned and which, by the way, we expect to close tomorrow, this was a very important transaction for ENF. The funds raised will enable it to invest and participate in the growth of the Canadian Liquids business that we'd dropped down to Enbridge Income Fund at the beginning of September. And as Al said, it also demonstrates ENF's ability to raise equity capital and meaningful tranches, which will serve to increase its public float, its trading liquidity, and its overall effectiveness as a sponsored vehicle for Enbridge. And speaking of ENF, given that this is the first quarter after completing the big dropdown of our Canadian Liquids business to the Income Fund, we thought it would be helpful to provide a quick snapshot of the performance in the Fund and ENF for the quarter. So I'm now on slide 16. With the dropdown transaction closing on September 1, the Fund picked up one month of earnings and cash flow from the assets it acquired on the dropdown. And you can see pretty clearly from this slide the significant impact the transaction has already had on the Fund and on ENF. ACFFO generated by the Fund Group increased to $200 million from $64 million for the same quarter of last year. This translated to very strong quarter-over-quarter growth in distributions paid by the Fund and earnings at Enbridge Income Fund Holdings, Inc. ENF investors have already felt the direct benefit of the transaction. We increased its monthly dividend by 10% on closing. And you can see the impact of that boost to the dividend for the month in September. You can see what impact that had on quarterly dividend per share. And as we've said before, investors in ENF can expect additional dividend increases of 10% per year through 2019, driven by the very strategic and rapidly growing portfolio of energy infrastructure now owned by the Fund. And with that, I'm going to turn it over to Al again to wrap up.
Albert Monaco - President, Chief Executive Officer & Director: Okay, thanks, John, and that will be a short wrap-up with our longer-term outlook. Based on the $38 billion capital program that we talked about earlier, we expect to see EPS growth of between 11% to 13% on average over the five-year planning period and ACFFO CAGR of 15% to 18%. As we've emphasized and as illustrated here with the squiggly arrows you see, the growth profile will be uneven based on the timing of new projects coming into service. On the other hand, we expect a more linear dividend per share growth profile of between 14% to 16% annually, consistent with what we have been saying. And at that level of assumed DPS we expect to be within our current dividend policy range of 40% to 50% of ACFFO on average likely at the higher end of that range. So as you can see, strong outlook through 2019. As I alluded to earlier, the management team is also focused on extending and diversifying the growth beyond 2019; and here slide 18 summarizes the various initiatives that we have underway. I'm not going to go through all of these because we went through them in some detail at Enbridge Days, but as you can see here, these opportunities stretch across a number of areas, further bolstering and expanding our Liquids Pipelines franchise and here our existing assets and reach make us ideally suited to provide cost-effective and timely expansions in this low commodity price environment. On the Gas side, the team, I think, is doing a good job of developing an inventory of new opportunities in both Gas Pipelines and Processing and Gas Distribution. And, of course, we continue to develop our new growth platforms. And our progress on power generation today that we announced is a good example of that. Move on to slide 19 and just the conclusions here, another strong quarter financially and from an execution perspective and we're expecting to come in within our 2015 guidance range for both EPS and ACFFO. We're focusing hard on developing value for customers through cost-effective access to the best markets. Good progress this quarter as well on our Sponsored Vehicles strategy, which is well-positioned with the completion of the EIF dropdown and initial funding in ENF. And lastly, our outlook through 2019 looks very strong and we're building to extend and diversify that outlook beyond that. So with that, let me turn it over to the operator for question period.
Operator: We will now take questions from the analyst community. Our first question comes from Brian Zarahn from Barclays. Please go ahead.
Brian Joshua Zarahn - Barclays Capital, Inc.: Good morning.
Albert Monaco - President, Chief Executive Officer & Director: Good morning.
Brian Joshua Zarahn - Barclays Capital, Inc.: Appreciate the color on the UK offshore wind project. Can you provide some additional color as to how the expected return's compared to your North American portfolio and just provide sort of an entry into other potential opportunities in Europe?
Albert Monaco - President, Chief Executive Officer & Director: Okay. That's a good question, Brian. So basically, here we're feeling pretty good about the return. I think you would think of it is generally low-double-digits to mid-teens is the outlook. I think the important part of that, though, is that on a risk-adjusted basis, it's very much in line with the rest of our businesses. And we obviously look at that very carefully. We've got a lot of opportunities to put capital to work in North America. So this needs to fit the same kind of return criteria that we have. And given the commercial underpinning here, we think this is pretty solid from that perspective. And yes, the second part of your question, good opportunities for growth here as we mentioned in the comments. There is a lot of opportunities that we see in Europe for offshore wind. The fundamentals are very solid. So when we look at these types of investments, we're always asking ourselves, can we make this a larger business. And certainly, in this case, it meets that criteria as well.
Brian Joshua Zarahn - Barclays Capital, Inc.: And then, turning to Western Canadian crude production, just any high-level thoughts given some recent producer announcement on project cancellation? Any change to your longer-term outlook for crude production growth in Western Canada?
Albert Monaco - President, Chief Executive Officer & Director: Well, I'll start it off, Brian, then we'll see if Guy has any comments to add. I think what we've been saying, it really hasn't changed that much over the last little while. We still see very strong production growth over the next three years or four years, perhaps. And that's simply because the projects that are in execution are coming through. And we don't expect that to change in the oil sands. Obviously, longer term, we'll have to see what happens that we all expect oil prices, I think, to stabilize here going forward. And importantly, you've seen the producing community certainly make a large dent in their cost structure. So I think that's going to be helpful longer term. So no major change in what we're seeing. Guy?
Guy Jarvis - President, Liquids Pipelines: I think the only thing I would add to that is there was a recent announcement of a project cancellation in the oil sands in Alberta region. And we did have that in our long-range plan, but it was not in the plan until 2022. So again, not an impact on the five-year strategic plan that we reviewed at Enbridge Days.
Brian Joshua Zarahn - Barclays Capital, Inc.: Thank you.
Albert Monaco - President, Chief Executive Officer & Director: Okay.
Operator: Thank you. Our next question comes from Rob Hope from Macquarie. Please go ahead.
Robert Hope - Macquarie Capital Markets Canada Ltd.: Hi. Yes. Thank you. Just two relatively quick questions. Just in terms of the opportunity for offshore wind, can you talk about how you would look to exploit that opportunity? Would you look to have a few investments where you'd be non-operating minority interest before taking over operatorship and potentially constructing it?
Albert Monaco - President, Chief Executive Officer & Director: Yeah. That's a good question. Let me answer the first, broadly speaking. When we're building an inventory with this kind of business, it makes sense to have projects that are perhaps in various stages of development. This one here is in construction, as we noted. We'd also consider always potentially moving into projects like this, perhaps earlier in the development phase. There's nothing in front of us today, but certainly that's possible going forward. As to the operations, for this first investment, we thought it would be prudent for us to partner with somebody that has proven experience in this area. But, obviously, with our own execution capability and, as well, obviously we're a big player in offshore pipelining, certainly you could see us move towards an operatorship position; that would obviously be preferred. But we thought for this one it made sense to enter in with a very sound partner that we know. Vern, anything to add on that?
Vern D. Yu - Senior Vice President, Corporate Planning, and Chief Development Officer: I think it's just similar to how we entered the onshore wind business, where we worked with very experienced developers and constructors and then, over time, we learned from them and took some of those skill sets in-house.
Robert Hope - Macquarie Capital Markets Canada Ltd.: All right. Thank you for that. Maybe one follow-up question. Just in terms of EEP, looks like earnings from EEP for you were roughly flat year-over-year despite EEP's earnings increasing. Are you booking earnings related to the Series 1 pref shares even though you're not receiving any cash? Or is there something else going on there?
John K. Whelen - Chief Financial Officer & Executive Vice President: Yeah. It's John, Robert. Yes, we do. We accrue those earnings.
Robert Hope - Macquarie Capital Markets Canada Ltd.: Thank you.
Operator: Thank you. Our next question comes from Linda Ezergailis from TD Securities. Please go ahead.
Linda Ezergailis - TD Securities: Thank you. I'm wondering if you could maybe provide some context around any preliminary discussions, if any, you've had with the incoming or the new Liberal government in Canada regarding energy environment. And, I guess, you're probably watching some of the conversations in advance of the UN Paris conference coming as well. But maybe you can just provide some context about how you're thinking about that.
Albert Monaco - President, Chief Executive Officer & Director: Okay. Well, I guess, Linda, it's actually a good question, because we often are asked, well, have you spoken to the government, or have you spoken to this person, or that person. I think the way we look at this, we've got a pretty defined process for engaging with new governments. You can imagine with our North American operations, we run into a situation where we've got turnover of governments all the time. So our process is really to, first, meet with their staff and really take them through our role in the economy. That's a process that we followed as well in Alberta, when we had the recent changeover. And that's because we think we offer unique perspective on things, given that we are a Canadian company, operating in many markets in North America. We've got oil, gas, renewables. And so that's how we kind of look at things. So we're pretty early on in the process here. We're going to give them some time, obviously, to get grounded in their portfolios. And then, we'll make an introduction and take them through our business and what we're all about. As far as the key policy issues, I think I've heard the Prime Minister talk about the importance of energy, the importance of energy security for Canada, and, of course, he's referred to the importance of taking action on climate change. So all of those things we share in terms of how we look at the future. And so we're looking forward to engaging them at the right time.
Linda Ezergailis - TD Securities: That's great. And just a follow-up, more detailed question about the quarter. Maybe for John. So there was mention with respect to Seaway and Flanagan South that there was partial alleviation of some of the mainline apportionment. Can you confirm that they were not affected at all in Q3 by any sort of upstream issues and that they've reached their full earnings potential based on fundamentals?
John K. Whelen - Chief Financial Officer & Executive Vice President: Yeah. I think it's fair to say, Linda, that it's still ramping up. There was alleviation of apportionment. So that did lift. If you looked at there in isolation quarter-over-quarter performance together, it was lifted over that period of time, but we haven't seen the full impact of what Flanagan and Seaway will produce when we completely alleviate the upstream bottlenecks.
Linda Ezergailis - TD Securities: Right. Could you just maybe provide what the estimated effect of that still partial upstream apportionment might be?
John K. Whelen - Chief Financial Officer & Executive Vice President: I'll probably have to get back to you on that one, Linda. I don't think we've got a precise number for you here.
Linda Ezergailis - TD Securities: Okay. Thank you.
John K. Whelen - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. Our next question comes from Jeremy Tonet from JPMorgan. Please go ahead. Jeremy, if you have muted your phone, please unmute it, or if you're on speaker one, please pick up the handset. Our next question comes from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan - RBC Capital Markets: Good morning. If I can just, first ask about Line 9, did I hear correctly that you estimate the earnings impact at $90 million?
Albert Monaco - President, Chief Executive Officer & Director: What I was referring to there, Robert, is that through 2015, if you look at the impact versus where, I mean, we thought we were going to have the line in service at the beginning of the year. So the impact to us of not having it in service for the year was about $90 million. So that's what I was referring to.
Robert Kwan - RBC Capital Markets: Okay. And, I guess, if you look at that, does that assume the earnings on the Line 9 capital itself in addition to some assumption that you were going to pull light volumes down the mainline? Or is that standalone anyway?
Albert Monaco - President, Chief Executive Officer & Director: No, no. That's specific to the Line 9 earnings.
Robert Kwan - RBC Capital Markets: Okay. So, I guess, with roughly an $800 million capital cost, it was an extremely high return project?
Albert Monaco - President, Chief Executive Officer & Director: Well, I'm not sure I would characterize it that way, but it was a reasonable return, and I guess, in the circumstances.
Robert Kwan - RBC Capital Markets: Okay. If I can just, second question, ask about Energy Services. Are there any kind of specifics that you can talk about as to what happened? And I guess, just based on – it was looking like a tailwind when you reported Q2 results and a lot of oil type stuff trades month ahead, is there something that went very much in the opposite direction for the month of September?
Vern D. Yu - Senior Vice President, Corporate Planning, and Chief Development Officer: Hi, Robert. It's Vern. I think the one thing that was our big tailwind for us earlier in the year was the filling of the strategic petroleum reserve. And that created lots of opportunities for us as we had opportunities to move crude from Cushing down into the Gulf Coast. But that's kind of dried up as well as overall price differentials between Brent and WTI have narrowed significantly. And we've also seen a less demand for a certain types of medium grade crudes on the Gulf Coast. So those three factors have really affected what we're seeing going forward for the rest of the year.
Robert Kwan - RBC Capital Markets: So maybe put differently, though, when you reported the second quarter results, did you already kind of have this view that Energy Services was going to lose money in Q3?
Vern D. Yu - Senior Vice President, Corporate Planning, and Chief Development Officer: No, we didn't, but things change quickly in the market.
Robert Kwan - RBC Capital Markets: Okay. So it was really kind of the crude grades, spreads, blending, that type of thing?
Vern D. Yu - Senior Vice President, Corporate Planning, and Chief Development Officer: Yeah.
Robert Kwan - RBC Capital Markets: Was that probably the biggest thing that changed? Okay.
Robert Kwan - RBC Capital Markets: Great. Thank you.
Albert Monaco - President, Chief Executive Officer & Director: Okay.
Operator: Thank you. Our next question comes from Matthew Akman from Scotiabank. Please go ahead.
Matthew Akman - Scotia Capital, Inc. (Broker): Good morning. There were news reports – and it's always dangerous to read news reports – but there were news reports about commentary for a $5 billion investment in the Gulf Coast. I don't know where that $5 billion came from and, in fact, I was on the EEP call and Guy was sort of talking about the potential investment being a little bit undefined still. But maybe, Guy, you want to circle back on that issue given news reports.
Guy Jarvis - President, Liquids Pipelines: Well, first comment would be you're correct. It's dangerous to attach too much to some of those reports. Basically, our message around the Gulf Coast is unchanged from what it was at Enbridge Days. We like what we see there in terms of building a longer-term larger business presence. We're working on a business plan that's going to define exactly how we want to try and engage in that marketplace. We did not include any of the potential capital that we might see in the $38 billion that was spoken about at Enbridge Days. And until we get the business plan defined and start down the path of execution, we probably won't start providing a whole lot more granularity into this magnitude of the capital, other than to say we wanted to be large enough to become a meaningful part of our business.
Matthew Akman - Scotia Capital, Inc. (Broker): Thanks for that clarification. Just as a follow-up, in the market recently, there have been some U.S. peers guiding down on volume expectations. And, I guess, if there's any area in Enbridge where that could impact be maybe in North Dakota, but then, again, I think that the tolling arrangements protect Enbridge from that largely. So maybe this is for Guy as well just to confirm that that's not impactful for Enbridge.
Guy Jarvis - President, Liquids Pipelines: Yeah. So we see it not being a threat right now from a number of perspectives, Matthew. The first one being is we have seen the production remain stable throughout the year despite this price environment, which is a good news. That means there is still hundreds of thousands of barrels a day of North Dakota crude being railed out of the state. If you get down into the commercial structures around our pipelines in terms of the legacy North Dakota system, you're right. It is along the lines of cost to service type tolling structure. So in the event that volumes were to fall off, there would be a mechanism there potentially to pursue higher tolls. That's not always something that we like to rely on, because higher tolls have an impact on your competitiveness. But, at this stage of the game, we're not concerned about that. On the Sandpiper side of things, Sandpiper is largely contracted. So again, not a threat that we would see erosion to our returns on that project when it comes into service.
Matthew Akman - Scotia Capital, Inc. (Broker): Okay, guys. Thank you very much. Those are my questions.
Operator: Thank you. Our next question comes from Andrew Kuske from Credit Suisse. Please go ahead.
Andrew Kuske - Credit Suisse Securities (Canada), Inc: Thank you good morning. First question is for Al. And given the fact that you've done the dropdown, you've completed things, how far do you think you can push this model in the years ahead? Should we think about your new Enbridge children coming out and, for example, you're growing the renewable business today, will there be an Enbridge Renewable Co. in the future? I mean, how far do you think about pushing this model?
Albert Monaco - President, Chief Executive Officer & Director: Well, interesting reference to children there Andrew, but, I guess, right now, we're pretty comfortable where we're at. Certainly, we want to prove this model out further. This is a very large chunk of capital that sits in Enbridge Income Fund. It provides a great opportunity to release more and more capital to redeploy, as I mentioned in my remarks. It's always possible. But, at this point, I think we're set for where we are, at least for the immediate term in terms of the sponsored vehicle opportunities we have. If you look across, there is MEP, there is EEP, and now the Income Fund is largely charged up with a bunch of capital. So I think we're in good position right now. I think it's probably too early to determine where the next phase is at this point.
Andrew Kuske - Credit Suisse Securities (Canada), Inc: So then, just as a follow-up, how do you think about Enbridge, Inc.'s longer-term stabilized ownership position in the underlying? Because if I go back over the years for EEP, you've oscillated from, call it, low 10%, 11%, up to 40%-ish. Where do you think the stabilized ownership level should be for EEP and for ENF, primarily?
Albert Monaco - President, Chief Executive Officer & Director: Okay. Well, that's a good question. So for ENF, we're roughly just over 90%. If you look at the numbers that we've talked about in terms of releasing capital, it likely will probably be down to 80% or 85% within the next five years. The reality of it is, with the size of the dropdown, at just over $30 billion, it would take some very significant equity issuances at ENF in order to draw that down materially below the 80%. The other part of it, too, is perhaps a philosophical one, which is maybe what you're getting at. On ENF, it would be tough to see how that would be below 50%. We think we'd like to maintain a pretty strong ownership there. On the EEP side, you're right. It's gone below where it is right now. I would say we wouldn't likely see us moving below 20% on that one. Obviously, we have – continue to have a very large interest operationally. We've got a significant integration issue there with the Canadian and U.S. assets. So ultimately, we want to keep a pretty significant economic interests in these sponsored vehicles.
Andrew Kuske - Credit Suisse Securities (Canada), Inc: Okay. That's extremely helpful. Thank you.
Albert Monaco - President, Chief Executive Officer & Director: Okay.
Operator: Thank you. Our next question comes from Ben Pham from BMO Capital Markets. Please go ahead.
Benjamin Pham - BMO Capital Markets (Canada): Okay. Good morning. Thank you. I just want to go back to the offshore wind acquisition. And I'm wondering if you can provide a bit of background on how that deal came together. And then also how long have you been looking at the European offshore wind market?
Albert Monaco - President, Chief Executive Officer & Director: Okay. I'll start off and I'll see if Vern has anything to add. I think in our business – on the onshore business, we've actually used a model where we have, perhaps, three or four partners that we tend to look at deals that are presented to us and we work with. So I think the biggest driver here is getting comfortable with partners that we're familiar with and moving along the curve that way to have us ramp up. As far as how long we've been looking at offshore, it's been at least a year, perhaps, a little bit longer. But, it's an evolution, obviously. We've been working on a whole bunch of things through this period of time. So that's the general proposition. Do you have anything to add, Vern?
Vern D. Yu - Senior Vice President, Corporate Planning, and Chief Development Officer: I think you've covered most of it off. I think it's really our ability to work with E.ON successfully onshore has led us to this particular opportunity.
Benjamin Pham - BMO Capital Markets (Canada): Okay. Got it. And maybe if you can comment on just with Europe now and you guys heading out there more. How broad is the opportunity set you guys are looking at now? I mean, are you going to look at transmission possibly in Europe?
Albert Monaco - President, Chief Executive Officer & Director: Yeah. Probably not transmission at this point, Ben. But, to go to your earlier point there, this opportunity is pretty broad, actually. If you look at the set of offshore countries, I guess, this would be applicable to, and just given the push in Europe for the size of the renewables that need to be added, I think, it's a pretty broad opportunity set. So there are other things that we've got in the inventory of things to look at going forward. So we're pretty excited about it. Traditionally, we've focused in Europe on looking for opportunities around pipelines, either in the oil or gas side. We haven't been successful in that. And, frankly, sometimes, I think the returns just haven't met our criteria in that space. But here, I think we've found a good combination of opportunity set, very good partners, great fundamentals, and with the return outlook that is quite positive and very comparable, favorably comparable to some of our North American project returns.
Benjamin Pham - BMO Capital Markets (Canada): Thanks, everybody.
Albert Monaco - President, Chief Executive Officer & Director: Okay.
Operator: Thank you. Our next question comes from Steven Padgett from FirstEnergy. Please go ahead.
Steven I. Paget - FirstEnergy Capital Corp.: Good morning and thank you. Could you please identify or update us on the regulatory outlook for Line 3, the U.S. portion in particular, and what some of the timelines might be on the process you identified in your MD&A?
Guy Jarvis - President, Liquids Pipelines: Steven, it's Guy. I think to speak to the U.S. issues in relation to Line 3 replacement we really got to have to speak a bit to the process that's going on with Sandpiper. So we have recently made a filing to the Public Utilities Commission in Minnesota as part of their process around Sandpiper, indicating to them that we can foresee a process that would preserve our in-service date targets currently in our MD&A's around Sandpiper for late 2017. That would include an EIS. That's something we put into that process. We have no control over what the PUC ultimately decides. But we expect we're going to get some clarity on that here in December. As it relates back to Line 3 and the Line 3 replacement, we actually remain hopeful that once we get resolution on how the balance of the Sandpiper proceeding's going to take place that it's actually going to pave the way for a smoother process through on Line 3 replacement. So at this stage of the game, given the timelines that we see for Sandpiper, we remain confident in the timelines that we still have out there for Line 3 replacement.
Albert Monaco - President, Chief Executive Officer & Director: Part of that, too, Steven, is the good progress we made on the right-of-way acquisition and you may just want to comment on that.
Guy Jarvis - President, Liquids Pipelines: Yeah. So on the Canadian side, I think we have all landowners under contract but for three. So on Canadian side, it's gone really well. The NEB proceeding is going to be held in November. So the Canadian side of it, that'd be well in order. On the U.S. side of things, I don't have with me the exact percentage of land acquisition, but it's very high as well.
Steven I. Paget - FirstEnergy Capital Corp.: Thanks, Al; thanks, Guy. Al, you've shown in your slides that Europe is moving to a generation regime. That's over 50% renewable. And Europe will need to manage its portfolio to provide reliable electricity even when it's dark and cold. So could Enbridge be part of bringing this technology for managing power to North America?
Albert Monaco - President, Chief Executive Officer & Director: Yeah. That's a great observation, Steven. I mean, I think at this point, it's certainly in the mid-burner section of our mind. Exactly part of the strategy, though, is if we can get to a position on the Europe side, we're participating in more than one project. We do see the opportunity to have this move to North America as well. And the premise around that is, if you think about it, even onshore projects have challenges with respect to people's opposition to wind, even though it's a zero emission source of power. So I think as we get more saturated onshore, there will be more opportunities and more ventures looking offshore North America as well. So I think it's a good point.
Steven I. Paget - FirstEnergy Capital Corp.: Thanks, Al. I'll get back in the queue.
Albert Monaco - President, Chief Executive Officer & Director: Okay. Thanks, Steven.
Operator: Thank you. Our next question comes from Paul Lechem from CIBC. Please go ahead.
Paul Lechem - CIBC World Markets, Inc.: Thanks. Good morning. A couple of quick questions. First, I saw that Southern Access has expanded to 950,000 barrels per day. I was just wondering where those incremental barrels are going. Are they going over Line 9? Are they going down to the Gulf coast? Are they going to Southern Access Extension? Where was the actual bottleneck?
Guy Jarvis - President, Liquids Pipelines: Yeah. So, Paul, it's Guy. Really, I think the answer is, it's a little bit hard to tell on any given day. Our bottleneck that we end up with when we've been doing some main – upstream mainline expansion is at Superior. So, obviously, when you add the Southern Access Expansion (sic) [Extension] that is taking those barrels down to Flanagan, at Flanagan, they can get into Flanagan South. Obviously, some of them can find their way back up into Chicago and on to Line 6B. An increasing amount of those barrels will be able to do that here a little bit later in the year when we complete the line what we are calling Line 78 construction. So they really get to Flanagan and then they disperse into all of the available outlets from there.
Paul Lechem - CIBC World Markets, Inc.: Okay. I guess, the question I was trying to get to at the end was, do you require any further downstream pipe expansions. Like, is the Flanagan South – is there a need to take that to full capacity now or are there any other – is the system now in balance?
Guy Jarvis - President, Liquids Pipelines: The system is now pretty much in balance. And looking forward towards the end of 2017, when we fully expand that pipeline and then bring some other capacity in from Sandpiper, again, we will be in balance. So beyond kind of the end of 2017, depending on the outlook for how much more crude might be looking to move down the mainline is the time when we're going to have to be thinking about that bottleneck again.
Paul Lechem - CIBC World Markets, Inc.: Got you. And then just switching gears to Seaway, the ongoing saga around your market-based tolls there, I'm just wondering, if – at the end of the day and if the ALJ and the FERC find against you, on the market-based toll ruling, is there any exposure? What are you booking until that day? Would you have to reverse any if the ruling goes against you? Is there any exposure to the downside?
Guy Jarvis - President, Liquids Pipelines: So my recollection is, is that we're already reflecting a more conservative view of the tolls in terms of how we're recognizing the financial results off of that asset. So I don't anticipate any negative outlook around the financials. I think at the end of the day, the result of that ruling itself will have a degree of impact. I think the bigger issue that we're facing on the legacy Seaway system right now is the competition. So it's going to be one thing to have your tolls structured in a certain way then the next thing is going to be, are they competitive at that level. So that's the ongoing challenge of Seaway right now as long as we've got the market-linked project and others in there moving barrels out of Cushing.
Paul Lechem - CIBC World Markets, Inc.: Okay. Thanks, Guy.
Operator: Thank you. Our next question comes from Rob Catellier from JMP Securities. Please go ahead.
Robert Catellier - GMP Securities LP: Hi. Good morning. I was wondering if you could just elaborate on the comments about the U.S. Gulf terminal opportunity. Specifically, you mentioned it needs to be big enough to be meaningful for Enbridge. And I'm wondering if you could provide some goalpost on what that might mean in terms of the size of the capital, but also the elements of the value chain that you would have to have to be effective?
Guy Jarvis - President, Liquids Pipelines: Well, I think if you – I'll start with the last part maybe first. If we look at – and I'm not sure this is where you're going, but in terms of the value chain and our value proposition, we think what we bring to the table there is we've got obviously a lot of experience in terms of operating energy infrastructure both pipelines and terminals. We have a lot of very solid relationships with key players along the Gulf Coast, both in that region and elsewhere across our system. And we've got a business model of being a service provider, who is not necessarily in the market to compete against our customers. And there seems to be a lot of attractiveness in that market to that type of business model. So in terms of what we bring to the table, those are the – that's the foundation of why we think we can be successful. In terms of the scope, I think we have indicated in the past, as a number just tossed out there, $5 billion. But I would reiterate that until the business plan's complete, we're really not going to firm that up. We use the word business plan specifically, because we're not interested in being a one-hit wonder and just having a single asset or a collection of unrelated assets. We're truly trying to create a business there that will ultimately over time be able to generate its own organic growth opportunity.
Albert Monaco - President, Chief Executive Officer & Director: And just to add on what Guy said, Robert, if you look at what's really driving this is the long-term fundamentals in that region, we think, are very positive in just about any condition, because it's such a critical area in terms of global refining competitiveness and capability. And whether you're talking about, as we've seen in the past, importing crude into the Gulf Coast, or potentially exporting crude going forward, it's going to be a hub. So really, that's the overall strategic premise; and then certainly being a good logistical player in that area is something that we want to build out.
Robert Catellier - GMP Securities LP: Okay. Thanks for that color. And then, some similar question on the offshore wind opportunity. As you've outlined, there is considerable runway if you look at all of Western Europe for offshore wind. And so it looks like really what you've done here is basically just dipped your toe in the water, so to speak, by partnering and not having the operatorship. So given the size of the opportunity in Europe, I'm wondering how big you're willing to let this piece of the business get and whether or not you'd consider another investment before you've seen the Rampion project placed into service?
Guy Jarvis - President, Liquids Pipelines: Okay. I think your characterization is probably a good one in terms of dipping in our toe. But, on the other hand, it's is a substantial enough investment at over $700 million to be meaningful, is a good start. I think whether or not we make another investment and what type of investment, that's going to depend on what it looks like. I will say there's pretty good inventory out there, projects to invest in. We'll obviously be very careful about the next one as well, just like we were with the first one. But this gives us, I guess, an initial launching point to get us familiar. Whether or not we would proceed with another before this is completed, again, it just depends on what it would look like. I think the overall objective here, though, from a reinvestment point of view, of some of the big cash flow we're going to see coming forward is that, by 2017, 2018, we're going to start to open up our capability in a much larger form in terms of capital that we could put to work. So the timing of these opportunities and the inventory of these offshore projects works pretty well from that perspective as well. But, in essence, it's just going to depend on what we see here in the next little while.
Robert Catellier - GMP Securities LP: Okay. Thank you.
Operator: Thank you. Our next question comes from Faisel Khan from Citigroup. Please go ahead.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Thanks. Good morning. Just going back to the investment in renewable energy, I think you said in your press release you've invested $4 billion so far in renewable power. And just wondering the number that we have in terms of the cash flows you earn out of those investments is about $250 million, which suggests sort of a 5% sort of cash-on-cash return. I was wondering, first of all, is that sort of the right number that you look at when you look at the returns on these assets?
Albert Monaco - President, Chief Executive Officer & Director: Certainly not. I know we'd have to go back and look, because some of these earnings and cash flows appear in the Income Fund vehicle. So I'm not sure how you're cobbling together the $250 million. We're going to go back and check that, actually. But, generally speaking, the returns on these are very much in line with the rest of our business in the low-double-digit area. Generally, some are a little bit higher; some are a little bit lower. But, that's the criteria we place. Can anybody add to that here?
John K. Whelen - Chief Financial Officer & Executive Vice President: Yeah. It's John. I think, Faisel, one of the issues is Al speaking of lifecycle rates of return. To a certain degree, we do see an element of ramp-up in both the earnings and cash flow return over the life of the project; quite profound ramp-up. So as we've put an awful lot of new business into place early, if you were to get and assemble all of that information, you would see a blend weighted to sort of the lower end of that ramp-up to start out with. But you'll see very strong improvement in returns over time, simply because of, on a project level, you're getting a steady or inflating cash flow stream with a great deal of certainty off of a declining equity investment base over time. So the ROEs on these projects go up quite strongly over their life when you look at them on a standalone basis.
Albert Monaco - President, Chief Executive Officer & Director: Yes. And sometimes, the prices that are embedded within the PPAs also have ramp-ups, either by inflation escalation or some predetermined factor. So that's another element of the ramp.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Okay. As you think about this business, I mean, how large of a business could this be for you over the long-run? I mean, is there any limit to the size of this business versus your entire portfolio?
Albert Monaco - President, Chief Executive Officer & Director: We're not going to put any sort of tags on what the number could be. I think we've proceeded over the last 10 years with that $4 billion in a pretty prudent way; generally investing in late-stage projects. So I think our general strategy here is to slowly build that business and make it a more meaningful part. But I'd hate to put a specific number on it at this point.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Okay. And last question from me. The UK sort of fixed price renewable obligation certificate program, I guess, I could sort of sift through that, but what is that power price associated with this PPA?
Albert Monaco - President, Chief Executive Officer & Director: I think there's two elements to that cash flow stream from this project. First is the ROCs, as you mentioned. And the ROC really is similar to a REC payment that you would receive in the U.S., where the UK government has instituted a program where you get a fixed number of pounds per ROC that you receive for a project. And in this particular project, we get 1.8 ROCs per megawatt produced. So that represents the vast majority of the earnings and cash flow that come from this project. The project also does sell power into the grid. And that power is sold on a merchant basis and that represents the remaining portion of the earnings and cash flow. And overall, when you look at it as a whole, on a portfolio basis, our total merchant exposure is quite low still.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Okay. Makes sense. Thank you.
Operator: Thank you. And at this time, we would like to invite members of the media to join the queue for questions. And your last analyst question is on line from Steven Paget from FirstEnergy.
Steven I. Paget - FirstEnergy Capital Corp.: Thank you. John, you've got about $13 billion drawn on various credit facilities and $9 billion in room. Well, typically, Enbridge has had a little more room on its facility; typically, much more room than its draw. Are you waiting for better markets before terming out the debt or looking for an increased credit rating to reduce spreads or both?
John K. Whelen - Chief Financial Officer & Executive Vice President: I think the best way to answer that question is we're just going to be selective in our issuance. Obviously, the markets have been little up and down, a little bit choppy. So we'll be patient. We're certainly working with the fixed income investor community and making sure that they understand – the credit make sure they understand the implications of the recent restructuring that we've done. And so we will be raising capital. There's no doubt about it. But we have lots of flexibility. I think that's the point to pick those spots when it's most logical to do so.
Steven I. Paget - FirstEnergy Capital Corp.: Thank you, John. Guy, just a clarification. You talked about companies on the Gulf Coast that are in the business to compete against their customers, were you thinking of integrated producer refiners?
Guy Jarvis - President, Liquids Pipelines: No, not specifically. It would be more energy infrastructure players who have large marketing presences of their own.
Steven I. Paget - FirstEnergy Capital Corp.: Thank you.
Operator: Thank you. We have a question from Lauren Krugel from Canadian Press. Please go ahead.
Lauren Krugel - The Canadian Press: Good morning. I have a question regarding the investment in renewables. I'm just wondering if you can talk more broadly about how big a factor in that decision was the increased talk of decarbonization and the kind of push for a tougher carbon action more broadly, globally. How big of a role does that whole trend play? And how you think about investing in renewables going forward?
Albert Monaco - President, Chief Executive Officer & Director: Right. Well, first of all, I would say that we'd all agree that if you look to the future, we're going to see a lower carbon intensity in our economy. So I think broadly speaking, that's part of the equation. The other part of the equation, though, for us, fundamentally, these investments need to generate good risk-adjusted returns, which so far our portfolio has driven that out and we expect to see that in this investment that we're talking about as well today. So I think it's a combination of both things. Longer term, we expect to drive out to a lower carbon-intensive environment. So that's part of our thinking. But if you look at our business, generally, I think we're good example of the direction. In our case, we've got very substantial portion of our earnings and cash flow driven by oil and gas transportation. And I think the reality is, that is going to be with us for many decades to come. So I think that's important. But, at the same time, we're building slowly towards other sources of energy supply as well. So I think we're a good representation of how the broader market is moving in this direction.
Lauren Krugel - The Canadian Press: And what are the kind of social license challenges Enbridge's had on its more traditional business, on the oil pipeline? How does that factor into the larger role for renewables?
Albert Monaco - President, Chief Executive Officer & Director: Well, that doesn't play a direct role. We're not investing in renewables for the reasoning you referred to. As I said, the fundamentals of renewables is what really drives us around returns and the general move towards lower carbon intensity going forward. I think in terms of the social license you referred to, the focus that we have is ensuring that we're doing everything we can that's practical to protect the environment and to ensure that we're engaging with communities on projects that we work on. And generally, we have a very good reception to the investments that we're making, and obviously, they're very critical to the economy, but also to the way of life that we have in North America. So we're going to continue to pursue those.
Lauren Krugel - The Canadian Press: Okay. Thank you.
Albert Monaco - President, Chief Executive Officer & Director: Okay.
Operator: Thank you. We have a question from Jeremy van Loon from Bloomberg. Please go ahead.
Jeremy van Loon - Bloomberg News: Good morning. I noticed on the MD&A that you had an update on the Northern Gateway project and you referenced a substantial cost increases over the initial estimates. I wonder if you could just give a sense of what kind of increases we're looking at on that line.
Albert Monaco - President, Chief Executive Officer & Director: Well, we're not getting specific about cost increases at this point, Jeremy. But what you're referring to is actually something that's been within the MD&A, and we've been talking about for quite some time. So I don't think there's anything new in that area, but we have talked about, obviously, the increases in cost due to some of the changes we've made in the project. The other factor is the estimate that we originally filed was based on 2010. So, obviously, you have a natural escalation that occurs from that time. Then as we did more work on the estimate, you always refine certain elements of it, and, of course, the terminal area, for example, would be an area of increased cost, just given some of the additional information that we had as we produced our classified estimate in the area. So – but big picture, I don't think anything is new on that front, per se.
Jeremy van Loon - Bloomberg News: Is there any better sense of whether or not you would be moving ahead with that anytime in the next year or two?
Albert Monaco - President, Chief Executive Officer & Director: Well, as I've said before, we're not going to be looking at our wristwatch on this. We're going to be focused very much on making sure we're having good discussions with communities and very importantly First Nations. I am pleased with the progress we're making there. I won't get specific about it. But we have had some additional First Nations sign on as equity partners in the project, which we're very pleased with, because at the end of the day, our view is that good economic cooperation, and in this case, joint ownership in project with First Nations would be very positive. Operator, are you still there? Okay, good.
Operator: And we have one further question from Kelly Cryderman from The Globe & Mail. Please go ahead.
Kelly Cryderman - The Globe & Mail, Inc.: Hi, there. Good morning. I'm just wondering, I know you discussed the new Trudeau government, but I'm wondering if you're looking for anything specific from them, including certainty on what changes they're going to make to the regulatory environment in Canada?
Albert Monaco - President, Chief Executive Officer & Director: Okay. Well, no. The answer is no we're not looking for anything specific on this. I know there's been some references to regulation. Let me just give you my view on that. I think in our experience the regulation both federally and particularly in Alberta has been very thorough. But the way we look at things is that ultimately improving and enhancing the regulatory process is really going to enhance public confidence in what we do. The other thing I'd mention is that we tend to focus primarily on achieving world class capability as opposed to looking at specific regulatory requirements. So the goal is try and exceed what's there regulatory-wise and achieve world-class status. And so if there are – if there is a process or there are changes, we certainly look forward to having input into that process.
Kelly Cryderman - The Globe & Mail, Inc.: And now that he has actually been sworn in, and Mr. Trudeau is the Prime Minister, how quickly do you expect that you'll be speaking to members his government?
Albert Monaco - President, Chief Executive Officer & Director: Well, as I said earlier in remarks, I'm not sure if you were on there, we do have a process that we go through, that's pretty defined when we engage new governments. The objective is first to join – to engage with staff first to take them through our role in the economy and what we do. And as I said earlier, that's the same process we use when we had a new government in Alberta just recently here. And the objective really -maybe this is what you're getting at is not to focus on specific asks but really just to offer our perspective on North American energy, which we find new governments -generally find pretty useful and that's because we have a very broad perspective on North American energy just because we have assets throughout the continent and we do have good prospectus on not just oil, gas but also on renewable. So it tends to be very good discussions that we work over time.
Kelly Cryderman - The Globe & Mail, Inc.: Thank you.
Albert Monaco - President, Chief Executive Officer & Director: All right.
Operator: Thank you. As there are no further questions, I will now like turn the call back to Adam McKnight for any closing remarks.
Adam McKnight - Director-Investor Relations: Thank you, Christine. We have no further comments at this time, but I'd like to thank everyone for joining us this morning and remind you that the Investor Relations team will be available after the call for any follow-up questions that you might have. Thank and have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.